Operator: Greetings, and welcome to Brightcove Third Quarter 2017 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the conference over to your host, Brian Denyeau.
Brian Denyeau: Good afternoon, and welcome to Brightcove’s third quarter 2017 earnings call. Today, we’ll be discussing the results announced in our press release issued after market close today. With me on the call are Andrew Feinberg, Brightcove’s Acting Chief Executive Officer; and Kevin Rhodes, Brightcove’s Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the Safe Harbor provisions of Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the fourth fiscal quarter of 2017 and the full-year 2017, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and upsell existing customers and our ability to acquire new customers. Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed Annual Report on Form 10-K and as updated by our other SEC filings, including our most recent Quarterly Report on 10-Q filed today. Also, during the course of today’s call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market closed today, which can be found on our website at www.brightcove.com. In terms of the agenda for today’s call, Andy will provide a summary review of our financial results and market opportunity, as well as an update on our operations. Kevin will then finish with additional details regarding our third quarter 2017 results, as well as our guidance for the fourth quarter and full-year 2017. With that, let me turn the call over to Andy.
Andrew Feinberg: Thanks, Brian. Welcome, and thanks to all of you for joining us today. Let’s get right to it. I’m excited to report on the progress we have made in the third quarter and on our strong third quarter financial results. We achieved third quarter revenue of $39.5 million, which was $1 million above the high-end of our guidance range. Our adjusted EBITDA of negative $889,000 beat the favorable end of our guidance range by $1 million and demonstrates our commitment as a company to being disciplined in terms of our investments and our cost structure. We remain on track to achieve our full-year bookings growth rate target of mid to high-teens growth. We delivered a 150 basis point sequential improvement to our subscription gross margin, which reflects the early positive impacts of some of the cost initiatives I discussed on our last earnings call. We achieved a retention rate of 95%, which demonstrates strong sales execution, as well as the positive impact that our new pricing and packaging is having with media customers. As many of you know, we have made significant technology enhancements to our core video platform, including those we highlighted last quarter in the areas of live streaming, Dynamic Delivery and internal communications. Delivering value in these areas enabled us to sign deals this quarter with significant brands across the world, such as: American Express Global Business Travel; American Airlines; BBC Worldwide; Bristol-Myers Squibb; Edmunds.com; GameStop; Hallmark Cards; Lionsgate; Mary Kay Cosmetics; McClatchy; NetApp; Premier League Football; Prometheus Global, the publisher of Billboard and Hollywood Reporter; Reelz Channel; Sony Pictures Networks India; UK TV; and Young Hollywood, among others. Also, continuing our success in winning significant seven-figure OTT engagements, we signed another major global broadcaster early in the fourth quarter. Finally, in our last call, we discussed the investments we made in order to resolve issues experienced by a large Japanese OTT provider. I’m happy to report that even at very high concurrent usage levels, the service is operating reliably and as intended. Our investment has now returned to more normalized levels. This is an exciting validation of our Dynamic Delivery technology and it reflects our commitment to customer success. I’m pleased tell you that our relationship with this broadcaster is strong and the customer continues to invest in its relationship with Brightcove. In addition to those favorable results, I’m also pleased with the progress we have made to improve our operational efficiency and execution during the third quarter. I would like to take a couple of minutes to provide additional details on some of our key initiatives in this area. Last quarter, I told you that we would be undertaking a thorough review of the company’s operations. In particular, our go-to-market efforts in order to increase our efficiency and productivity without impairing the company’s ability to hit our long-term growth objectives. I’m pleased to report that we’ve made good progress in this area during the quarter. Among other things, we performed the following analyses. First, we reviewed our sales organization down to the individual rep level to understand pipeline, productivity metrics and ROI throughout the team and across regions in businesses. Through this process, we identified areas where we can improve our performance and we have made some personnel changes already. We are in the process of adding new members to our sales teams, and I’ve been impressed with the caliber of applicants we’ve attracted. Second, as part of this review process, we have also been looking at how our global sales teams are organized and focused and we have evaluate – we are evaluating the benefits and costs associated with different structural approaches. We are incorporating these learnings into our 2018 budget planning process, which is currently underway. And we believe we will enter next year with a more streamlined and effective go-to-market approach. Third, we have also undertaken a thorough review of our marketing investments to understand which channels are most effective and which are not delivering. It is critical that we deploy our marketing dollars to yield the maximum return for investment. Our top priorities are increasing awareness of our solutions, their benefits, our brand, and in particular, driving the greatest number of high-quality leads to the sales organization. We are now better positioned than ever to make these investment choices. Fourth, we have also instituted improved commonsense approaches to managing our expenses. These efforts are paying off on the bottom line and in building a culture in which all employees are committed to and have a stake in managing the company’s expenses. I’m pleased with the response I have seen from our team. Improving our operations and instilling a greater level of operational discipline across the company is an ongoing process and will continue to be a focus of ours. I expect we will see continued improvement in the coming quarters. One of the things I’m most excited about is the strong market reception that we are seeing for our new products. I mentioned a minute ago just a few of the incredible customers that we signed during Q3. On the product side, we are seeing strong reception for Dynamic Delivery, our next-generation media delivery platform. As we have previously described, Dynamic Delivery is a more elegant and efficient solution for media delivery, enabling customers to increase their device reach and in many cases achieve significant bandwidth and storage savings. It is also a platform that will allow us to innovate more quickly moving forward. This new architecture was key to our winning several of the seven-figure deals we’ve announced in prior quarters. We’ve also already seen numerous large media customers eager to migrate to this new platform. We have already transitioned about 20% of our installed base to Dynamic Delivery, and we will be transitioning the majority of our customer base over to Dynamic Delivery by the end of 2018. We are also seeing exciting success with our new Brightcove live streaming service with the number of customers using it for high-volume, high-profile events. As an example, this past August, Brightcove partnered with Foxtel to livestream the Floyd Mayweather-Conor McGregor fight. We are also seeing great interest in our patent-pending Context Aware Encoding technology, which is currently in beta. Context Aware Encoding enables us to optimize compression rates based on content specific analysis, thereby enabling file size reduction of up to 30% to 50%, making video delivery significantly more efficient for customers. We are also receiving great interest across the market and our customer base for internal communications use cases within the enterprise segment. For example, MailChimp, which is used by millions of people and businesses around the world, purchased our new Enterprise Video Suite. MailChimp chose Brightcove for a secure video-centric internal training and communications initiative, designed to improve employee productivity, deepen employee engagement and share information across its marketing platform more effectively. As I look ahead to 2018, I’m excited about the opportunity in front of us. We have a world-class customer base, which is increasingly turning to Brightcove to help solve some of the most complex and mission-critical issues facing their businesses. We are targeting a multibillion-dollar market opportunity that is growing as video content increasingly moves to online mobile and nontraditional devices. We are uniquely poised to be the solution of choice across all of these platforms. As exciting as this opportunity is, it does not mean much unless we continue to execute at a high and consistent level. I’m pleased with what we have achieved in Q3; now we have to do it again and continue to improve. Looking ahead, I’m confident that we will do so, and that we will return to adjusted EBITDA profitability in the fourth quarter with the goal of delivering positive adjusted EBITDA and free cash flow for the full-year of 2018. In summary, Brightcove delivered strong third quarter results and made good progress on achieving the high level of execution we and our shareholders expect and demand with a strong team, great customers and a compelling product portfolio. Our focus is on continued innovation, the success of our customers and ensuring that we continue to refine and improve our go-to-market efforts in order to maximize our market opportunity. With that, let me turn the call over to Kevin to walk you through the numbers. Kevin?
Kevin Rhodes: Thank you, Andy, and good afternoon, everyone. I’ll begin by discussing our third quarter results, and then I’ll finish with our fourth quarter guidance and updated outlook for full-year 2017. Total revenue in the third quarter was $39.5 million, $1 million above the high-end of our guidance range. Our outperformance was driven by higher than expected overages, as well as professional services as we continue to deliver large-scale OTT services across the globe. Breaking down revenue further, subscription and support revenue was $36.5 million, which was up from $36.2 million in the year-ago period. Professional services revenue was $3 million in the quarter compared to $2.2 million in the year-ago quarter. Now let me add some color around our revenue mix. On a geographic basis, we generated 58% of our revenue in North America during the quarter and 42% internationally. Breaking down international revenue a little bit more, Europe generated 15% of our revenue and Japan and Asia-Pac generated 27% of our revenue during the quarter. From a vertical market perspective, our media business generated 55% of our revenue in the quarter and our enterprise business represented 42% of our revenue, while volume business represented the remaining 3%. Let me now turn to the supplemental metrics that we share on a quarterly basis. Our recurring dollar retention rate in the third quarter was 95%, which was in line with our target range of low to mid-90s and above our expectations for the quarter. We were pleased to see our retention rate return to historical levels in the third quarter. As Andy mentioned earlier, we believe this demonstrates strong sales execution and the positive impact of our new media pricing and packaging. Our current expectation is that the overall impact of this reset that we talked about in the first quarter will come in at the low-end of our range of $10 million to $13 million. Our customer count at the end of the third quarter was 4,210, of which 2,113 were classified as premium customers. We were pleased with our new customer acquisition activity during the quarter. Looking at ARPU within our premium customer base, our annualized revenue per premium customer was $73,000, which was up 2% year-over-year and excludes our entry-level pricing for starter customers, which averaged $5,000 in annualized revenue. Looking at our results on a GAAP basis, our gross profit was $23 million, operating loss was $5.3 million and loss per share was $0.16 for the quarter. Turning to our non-GAAP results. Our non-GAAP gross profit in the third quarter was $23.7 million compared to $25.3 million in the year-ago period and represents a gross profit margin of 60%. Subscription and support revenue represented approximately 92% of total revenue and generated a gross margin of 66% in the quarter. Non-GAAP loss from operations was $2.2 million in the third quarter compared to a non-GAAP operating income of $913,000 in the third quarter of 2016. Adjusted EBITDA loss was $889,000 in the quarter compared to positive adjusted EBITDA of $2 million in the year-ago period. Non-GAAP loss per share was $0.06 based on 34.5 million weighted average shares outstanding, which was well above our expectations and driven by the revenue outperformance which flowed through to the bottom line. This compares to earnings per share of $0.02 on 35.6 million weighted average shares during the year-ago period. Turning to balance sheet and cash flow. We ended the quarter with cash and cash equivalents of $22.1 million. During the third quarter, we used $4.9 million in cash flow from operations with $1.3 million in capital expenditures and capitalized internal-use software. Free cash flow was negative $6.2 million in the third quarter. I’d now like to finish by providing our guidance for the fourth quarter and our updated outlook for 2017. For the fourth quarter, we are targeting revenue of $39.3 million to $39.8 million, including approximately $2.8 million of professional services revenue. From a profitability perspective, we expect a non-GAAP operating loss of $600,000 to $1.1 million and adjusted EBITDA of $0 to $500,000. Non-GAAP net loss per share is expected to be in the range of $0.02 to $0.03 based on 34.7 million weighted average shares outstanding. We are raising our full-year guidance and now expect revenue to be in a range of $155.1 million to $155.6 million. This includes approximately $12.3 million of professional services revenue for the full-year. In terms of profitability, we are improving our guidance by lowering our full-year non-GAAP operating loss to a range of $10.9 million to $11.4 million, and adjusted EBITDA to a loss of $6.3 million to a loss of $6.8 million. And in addition, we now expect non-GAAP net loss per share of $0.31 to $0.33 based on 34.4 million weighted average shares outstanding. For cash flow, we expect full-year negative free cash flow to be in a range of $12.5 million to $13 million, and we expect to generate free positive cash flow in the fourth quarter of $1 million to $3 million. With that, we’ll now take your questions. Operator, we are ready for Q&A.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Tom Roderick with Stifel. Please state your question.
Jeffrey Parker Lane: Hi, it’s actually Parker Lane in for Tom. Thanks for taking my question. I was wondering, Kevin, if you could provide an update to the bookings target the company had laid out on both the media business and the enterprise business, and what trends you’re seeing overall? Thanks.
Kevin Rhodes: Sure, Parker, happy to do that. As you know, we’ve kind of said at the beginning of the year that we are expecting to be at the mid to high-teens bookings growth for the full-year. We have given you kind of updates throughout the year for that. As we said in our prepared remarks, we are still expecting to achieve somewhere in that mid to high-teens bookings growth for the full-year. We don’t break down individually how we do each and every quarter, because obviously, there could be variability between quarters, but we still feel very good about the opportunities and being able to achieve that target.
Jeffrey Parker Lane: Got it. Then going back to your overall operations review and what you’re looking at on the international sales structure front. Just wondering if there’s anything you can glean from the Asia-Pacific business, in particular, if there’s anything you can translate maybe over to Europe or Japan, or even into North America itself. Just what you’re seeing from that business that distinguishes it from the broader business? Thanks.
Andrew Feinberg: Sure. Hey, Parker, it’s Andy, and thanks for the question. And yes, look, our review was of the entire organization, not just the international side. We looked at all of the geographies and we conducted a full review of the productivity of the sales organization, down to the rep level across all goes and businesses. We have had a lot of success in the JAPAC region, as you know. And we have already over the course of the last several quarters been working on changes in the EMEA organization. We brought Mark Blair, who ran our APAC organization over to London, and we’ve made substantial progress. And we had brought a lot of the learnings and best practices from the sales organization over there to our EMEA team and very much looking forward to the go-forward there. We have been bringing those best practices really wherever we’ve been looking at improving productivity, and we’re excited about the opportunities in front of us.
Jeffrey Parker Lane: Thanks, guys.
Operator: Our next question is from Steven Frankel with Dougherty & Company. And please state your question.
Steven Frankel: Good afternoon. So you’ve shown some really strong momentum in these behind-the-firewall app – applications over the last couple of quarters. To what extent is that getting you new customers, which you then can cross-sell on the – outside the firewall apps, or are these more just broadening the existing customer base?
Andrew Feinberg: Yes. Well, thank you. We have had some really good momentum in the enterprise sector. As you may know, we launched our enterprise suite at the Brightcove PLAY conference. Last quarter was really the first quarter that it was in market and we were very excited about the uptake and the activity. And we’ve introduced some features such as single sign-on, and we are excited about the opportunities it’s creating. Definitely, there is cross-sell. Our hope is that all of the different needs that an enterprise has for a video, we’ll be able to serve, and behind-the-firewall is certainly opening doors for other opportunities.
Steven Frankel: Okay. And then on the seven-figure deal that you signed early in Q4, can you give us a little bit of insight into maybe the competitive situation that was there or – and anything else you can tell us about the nature of this deal and why you think you want it?
Andrew Feinberg: Sure. I know that one of the reasons we want it was because of the new technologies that we’ve introduced, Dynamic Delivery, and a variety of the other product initiatives that we brought to market over the course of the last year. Customer was very excited. In addition, our team made a very strong showing. We have experienced, as you know, with large global OTT offerings. Those served as strong references for us. And so overall, it was a combination of product execution by the team, our reputation and the successes that we’ve had that demonstrated – successfully had with good implementations. In terms of the competition, largely, we got narrowed down as the best choice in terms of outsourced vendor and the competition was in-house. And look, as we’ve been saying for a long time, this is a service that, in order to have a continuing stream of innovation, best practices and a large team of experts, you’ve got to outsource, and we think we’re the best choice for that and that prevailed.
Steven Frankel: Great. And then, because I don’t want Kevin to feel left out, maybe you could talk to us about the path to higher service and support gross margins. How does that look like over the next few quarters?
Kevin Rhodes: Yes, the path to higher subscription or services?
Steven Frankel: I’m sorry, subscription and support, I can’t read my own handwriting.
Kevin Rhodes: That’s okay. We had a good, solid growth, as you know, in this quarter, 150 basis points in the quarter around our subscription margins. It’s really three things. Number one, we are looking at the COGS to deliver, right? There’s some bandwidth, there’s some storage, and there’s also some computing power, and we did make some really good, meaningful reductions in all of that during the third quarter. And so some of it was renegotiating our contracts, some of it was reducing our storage footprint and some of it’s quite frankly the new technology and having the new technology deployed across our customer organization. When I think in the future about what we can do in terms of expanding our margins within the subscriber base, I do feel very good about a couple of things. Number one, the new pricing. The new pricing is going well. So we’re expanding the amount that’s in the contract that is platform and therefore, we’re reducing kind of the rates that one would actually pay for some of the commodity elements. And so that’s going to give us a better stickiness factor, if you will, of the overall contract price, and that will certainly have an uplift over time with our margins as well. On the BGS side, just to cover that, because that was a bit of a lower margin this quarter. We had a timing issue there a bit on some fixed-price projects and the revenue timing versus the costs when they came in. We plan to get BGS back to profitable or break-even here soon.
Steven Frankel: Okay. And then, lastly, where do you think cash bottoms, I guess? If you think this – if you’re talking about generating free cash flow in Q4, I guess, you’re thinking this is the bottom?
Kevin Rhodes: Yes. For this year, for sure. And then, as I think about next year, we’ve already said that we’re expecting to have free cash flow positive for 2018 as well. So I think this is certainly around the bottom of what the cash would be. And obviously grow $1 million to $3 million in the fourth quarter is what we said.
Steven Frankel: Great.
Operator: Okay. Our next question is from Glenn Mattson with Ladenburg Thalmann. Please state your question.
Glenn Mattson: Hi, thanks for taking the question. The retention rate, 95%, I believe you said, snapped back faster than you had previously predicted. Is – can you talk about some of the dynamics behind why that occurred? And lay it against kind of a long-term plan, which I believe is your vision, which is to move the contract away from the commodity elements and more towards the platform, and how that’s going and where you are in that transition? Thanks.
Andrew Feinberg: Yes. Hey, Glenn, it’s Andy. Thanks for the question and thanks for recognizing the success in the 95% retention rate. We are very happy with that. Look, we are executing well on this media repricing strategy, and the team itself, I believe is executing well. And so that’s really driving part of this. Second, customers really are embracing the new technologies that we baked into the platform. They are seeing the value that we are offering and that is helping to drive the adoption of this strategy, which, as you know, is driving value towards the platform license, which is including these technologies. And so that’s really helpful. And then, third, we believe that the market opportunity is growing. We’ve all seen reports on the growth of consumption of OTT and the explosion of streaming, and that is also helping drive the adoption and the growth in our accounts. So all of those things are really positive, and I’m happy about them. But just remember, we’re halfway through it. We’re six months in, and we have to go prove it again next quarter and the quarter after.
Glenn Mattson: And is it – how long – what’s the process for how long it will take to get the entire customer base converted to the newer pricing model?
Andrew Feinberg: Yes. We are sticking with the model that we had talked about a couple of quarters ago, which is we are anticipating a year from the start to get the great majority of the customer base over. And so that would have us concluding by the end of Q1 next year.
Kevin Rhodes: That’s right.
Glenn Mattson: Great. And I guess, putting it all together, once we get through that, assuming that these trends continue and we are running on this closer to higher 90s retention rate, then I would guess that the bookings growth and the revenue growth the next year out would start to get a little closer aligned. Is that how to think of that?
Andrew Feinberg: That is what the plan is.
Kevin Rhodes: We’re not guiding 2018 yet, of course. But yes, that is the plan is to see an improvement in retention over time based on this.
Glenn Mattson: Right, right. And last thing, on the sales force, you are talking about some turnover that you need to do that – initiated by you guys. Is there a lot to go there? Can you give us a bit of sense of the scope?
Andrew Feinberg: Sure. So look, it’s an ongoing process and frankly, it’s something we’ll always be doing. But we, as I described, we did a full productivity review down to the rep level and we have made some changes in areas where we have identified strong productivity, and where we have unmet demand, we’ve added some capacity. And we’ve also made some changes and had some changes in areas where we haven’t seen the same productivity. And on a net basis, we are certainly not down capacity. And as I’ve said, it will be an ongoing process.
Glenn Mattson: Okay, great. Thanks. Good luck and keep going.
Andrew Feinberg: Thank you very much.
Operator: Our next question is from Mike Latimore with Northland Capital Markets. Please state your question.
Nick Altmann: Yes. Hey, guys, this is actually Nick Altmann on for Mike. Thanks for taking our questions. Just first, to clarify, I think, you guys said 20% of the media installed base is on Dynamic Delivery now?
Andrew Feinberg: So that’s about right. That’s correct.
Nick Altmann: Okay. And then, what percent of overall media revenue would be on Dynamic Delivery now?
Andrew Feinberg: Kevin?
Kevin Rhodes: So Dynamic Delivery is actually going to be the back-end processing for the entire business. So as we get through each and every quarter, we are moving customers over to that Dynamic Delivery. So it’s going to continue to kind of drive through, I would say, into 2018. We should have certainly the majority, if not the supermajority of our customers on the new technology at that point.
Nick Altmann: Okay. And then, do you guys expect churn to worsen as you get through the process of converting new contracts over the next two quarters or so?
Andrew Feinberg: No. So I think two quarters ago, we gave you what we had modeled out for the dollar retention lift with respect to the repricing on the media side. We had shared that $10 million to $13 million estimate. As we described, we’re about half way through that. And at this point, we’ve seen better success than we anticipated. And so we are currently looking at the low-end of that range. However, as I said, we’re about halfway through. We have two more quarters to go. We’re sticking with our model. We’re not changing that.
Kevin Rhodes: Yes, I mean, this was clearly a good quarter at 95%. We typically look at 91% to 94%. As I said in previous quarters, we were thinking towards the low-end of that range during this period of time. I think, we don’t want to change our model in terms of the low-end, I’ll call it, low 90s, as we were thinking through this to the next two quarters, and we’ll see how it goes.
Nick Altmann: Got it. And then just last one, with the new contract changes, should we expect less overages each quarter?
Kevin Rhodes: The overages this year, they’ve been interesting, $1.9 million in Q1, $2.2 million in Q2, $2.5 million this quarter. You average that out and you’re at $2.2 million, that’s what I actually had in our model for Q2. So a little over there in Q3, I’m sorry, that’s what I had, $2.2 million for the third quarter, but we went a little bit above that. I’m still modeling $2.2 million in the fourth quarter.
Nick Altmann: Got it. Okay. Thanks, guys.
Andrew Feinberg: Sure. Thanks very much.
Operator: Our next question is from Lee Krowl with B. Riley & Co. Please state your question.
Lee Krowl: Hey, guys. Thanks for taking my question and congrats on a solid quarter. First question, just you guys kind of run through a list of customer wins. And I was curious if those are customers that have an existing solution out in the market, or if they are just new adopters to a video solution. Curiosity if you guys gained share from existing players or if these are just new opportunities?
Andrew Feinberg: Yes. So, hey, Lee, thanks for the congrats and thanks for the question. It’s a mixture, right? So some of the customers on that list are embarking on new video initiative. In some cases, they have some video solution already, but these might be initiatives of departments or divisions that haven’t launched initiatives before, or they might be embarking on a new type of video initiative, which they didn’t have a solution, and in some cases, they’re outright customer wins in competition with other providers and they’re switching their solutions over to ours.
Lee Krowl: Okay. And then on the professional services, it just seems like it’s tracking as a higher percentage of revenue. And I was curious if that’s just a function of a more technical product to integrate, or if whether that’s just a leading indicator for future revenue, or how should we think kind of – does it continue to expand as a percentage of revenue, or is this kind of a level to assume going forward?
Andrew Feinberg: Well, certainly, for the large projects that we’re describing, we believe they’re leading indicators of future subscription revenue. That’s our goal, that we’re enabling customers to more easily adopt the solutions that we’re offering in their unique ways or for their unique use cases, and what comes along with these large engagements are significant future subscription revenue. That’s certainly the goal and that’s, in many cases, what we’re looking at. In terms of do we believe that we have the opportunity to continue to drive large services projects as we do? There is certainly plenty of market demand. As a percentage of future revenue, Kevin, I’ll let you describe the way we’re thinking about it.
Kevin Rhodes: Sure. I mean, we’ll do about what $10 million to $11 million this year in professional services revenue. That’s about 8%, so 92% of our overall revenue is on the subscription side of things. I don’t see that mix to dramatically changing in the future. I’d feel that we can certainly sustain that level of services revenue each year with having driving more subscription revenue even further than that.
Lee Krowl: Got it. And then the last question for me is just kind of from an – with the pricing reset two quarters ago, is this kind of a set in stone thing, or are we going to have kind of an annual change to terms? Just kind of curious if early next year we’ll see another reset or if the reset that occurred this year is something that’s set in stone going forward?
Andrew Feinberg: It is certainly not our anticipation that we will have a whole new pricing philosophy and reset again in the future. The goal here is to move customers over to a structure where the value is really in the software or platform. And we are happy with the success that we are achieving and seeing in that regard, and we’re in the business of making software and selling our service. So we don’t see a reason to change that in the future.
Lee Krowl: Got it. Thanks, guys.
Andrew Feinberg: Thank you.
Operator: [Operator Instructions] We do have a follow-up question from Steven Frankel of Dougherty & Company. Please state your question.
Steven Frankel: I just want to go back on this media repricing issue. You are coming in at the lower-end. Is that because the customers have basically ended up buying more or you – fewer customers have churned off? What leads you to the $10 million rather than the $13 million in the guidance?
Andrew Feinberg: Yes. Sure, good question. And the answer is that, we’re having more success with customers in terms of retaining a percentage of the existing revenue run rate.
Steven Frankel: And again, that would be some kind of trade off, right? Because if I’m paying less for storage and bandwidth, I’m buying more of something else to retain the dollar value?
Kevin Rhodes: That’s right, our software, the new stuff that we’re building.
Steven Frankel: Okay, perfect.
Andrew Feinberg: We’re happy about it, too. Thanks, Steve.
Operator: Okay. Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back over to management for closing remarks.
Andrew Feinberg: Great. Well, thank you, everybody, for paying attention and for your questions and for following up. We’re pleased with the quarter that we had. We have more work to do and we’re laser-focused on doing it. So thank you all. Talk to you soon.
Operator: This concludes today’s conference. You may disconnect your lines at this time, and thank you for your participation.